Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gamida Cell's Conference Call for Second Quarter 2021 Financial Results. My name is Krystal and I'll be the operator for today's call. Please be advised that this call is being recorded at Gamida sales request. Now I would now like to introduce your host for today's conference, Mr. Josh Hamermesh, Chief Business Officer. Please go ahead.
Joshua Hamermesh: Thank you, Krystal, and good morning, everyone. Welcome to today's call, during which we will provide an update on the company and review our financial results for the second quarter of 2021. Earlier this morning, we issued a press release summarizing our financial results and progress across the company, which is available on our website at www.gamidacell.com. Here with me on our call today are Julian Adams, Chief Executive Officer; Ronit Simantov Chief Medical Officer; Michele Korfin, Chief Operating Officer and Chief Commercial Officer; and Shai Lankry, Chief Financial Officer. There will also be a Q&A session following our prepared remarks. During this call, we may make forward-looking statements about our future expectations and plans, including in respect of the timing and initiation and progress of and data reported from the clinical trials of our product candidates, anticipated regulatory filings, including the submission of the BLA for omidubicel to the FDA, commercialization planning efforts, the potentially life-saving or curative therapeutic and commercial potential of omidubicel and our expectations regarding our projected cash to be used for operating activities and cash runway. Our actual results may differ materially from what we project today due to a number of important factors, including the impact of the COVID-19 pandemic on our operations, the scope progress and expansion of our clinical trials and cost impact thereof, clinical, scientific, regulatory and technical developments and those inherent in the process of developing and commercializing product candidates that are safe and effective for use as human therapeutics and in the endeavor of building a business around such product candidates as well as those considerations described in the Risk Factors section of our most recent annual report on Form 20-F and other filings that we make with the SEC from time to time. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information, future events or otherwise. And now I'd like to turn the call over to Julian.
Julian Adams: Thank you, Josh, and thanks to everyone for joining us this morning. This was a productive quarter for Gamida Cell. We continue to execute on our plan to launch the first allogeneic stem cell therapy, omidubicel for cancer patients in need of a stem cell transplant. In addition, based on promising preliminary studies, we have accelerated our plans to develop a unique NAM enabled natural killer or NK cell GDA-201 for patients with follicular lymphoma and diffuse large B-cell lymphoma. And we are very excited about the expansion of our cell therapy pipeline with 4 new NAM enabled genetically modified NK cell -- cells targeting cancers. Patients are at the forefront of our work, and we are committed to turning our NAM enabled NK product candidates into curative therapies. I'll start with our most advanced program omidubicel, a potentially life-saving treatment for patients with blood cancers who are in need of a stem cell transplant. This quarter, we announced the results of a Phase III clinical study of omidubicel, which were published in blood, the official Journal of the American Society for Hematology. The published results demonstrate that transplantation with omidubicel needs to fasten neutrophil and platelet recovery compared with the standard of care. Additionally, the data demonstrates that omidubicel results in fewer bacterial, fungal and viral infections and less time in the hospital. These results add to the compelling body of evidence for the potential of omidubicel as a life-saving therapy that can benefit patients in need of a bone marrow transplant and help reduce the burden on our health care system. We continue to execute our plan of action to toward becoming a commercial company in 2022, as we prepare for our BLA submission for omidubicel by the end of this year, subject to a pre-BLA meeting with the agency in the fourth quarter. Omidubicel has the potential to be the first FDA approved cell therapy for stem cell transplants. Michele will provide an update on launch readiness later on in the call. Moving to our NK pipeline. We believe that NK cells hold tremendous potential as a best-in-class next-generation immunotherapy. NK cells antibodies first-line of defense in providing innate immunity. They also have immune privileged properties, which obviate the requirement for HLA matching. Given that any healthy adult donor can provide an apheresis unit, from which we apply our proprietary NAM technology to expand and produce a cryopreserved off-the-shelf allogeneic natural killer cell treatment for cancer patients. Our NAM enabled NK cells display several important cell surface markers, including high expression of CD16, the Fc-gamma RIII receptor for antibodies, which allows the combination with monoclonal antibodies to target tumors through enhanced antibody-dependent cellular cytotoxicity or ADCC. Importantly, NAM also increases CD62L were L selected expression, which leads to in vivo homing and retention in lymphoid tissues. Furthermore, NAM increases secretion of inflammatory cytokines for activation of host adaptive immune cells. The combination of these activities results in increased cytotoxicity for more efficient tumor cell killing and durable responses. The combination of NK cells with therapeutic antibodies increased GDA-201's potency of killing an enhanced ADCC, both in vitro and in vivo, supporting clinical treatment with GDA-201 in parallel with selected antibodies for both specific malignancies. We are advancing the power of NK cells to the next level with our second candidate in clinical development, GDA-201, which has demonstrated remarkable results in preliminary studies as a potential treatment for patients with follicular and diffuse large B-cell lymphomas. We have completed the GMP batches with our cryopreserved formulation of GDA-201 and are on track to submit an IND in this quarter to support a multicentered Phase I/II study by the end of the year. Today, we announced that we are expanding the reach of both the NAM technology and the power of NK cells through the growth of our NK pipeline to now include genetically modified variants and proprietary therapies using CRISPR/Cas9 and CAR technologies. Ronit will give more detail on this exciting new development shortly. And we look forward to providing a more detailed update at an R&D Day later this year. I'm extremely proud of the progress our team has made with this expansion, and I believe that our technology, combined with our expertise in NK biology holds great promise for further -- to further our vision of bringing curative therapies to patients. I want to conclude my introductory remarks by really thanking our employees for their continued dedication to our mission and hard work. And with that, I will turn the call over to Ronit.
Ronit Simantov: Thank you, Julian. I'm very excited to provide more detail on our NK pipeline expansion, which we announced this morning. We're confident in the potential to leverage our NAM technology for these newly announced targets based on the encouraging clinical data we've demonstrated with GDA-201 for patients with lymphoma. These new programs will involve genetic modifications intended to direct NK cells against cancer cells, enhancing targeting and persistence and improving cytotoxicity against both hematologic malignancies and solid tumors. This pipeline expansion [indiscernible] research that we've been conducting here at Gamida Cell and in collaboration with key academic researchers and represents important progress in the development of NK therapies for patients. Our new product candidates include GDA-301, a Knockout of CISH or cytokine inducible SH2 containing protein in NK cells using CRISPR/Cas9 with concomitant insertion of membrane-bound interleukin-15 or IL-15. CISH is a regulator of IL-15 signaling and CISH dilution increases NK sensitivity to IL-15 by lowering the NK activation threshold. NK cells equipped with membrane-bound IL-15 are designed for enhanced persistence and improved antitumor effects. In preclinical studies, we've demonstrated elevation of pro-inflammatory cytokines and enhanced potency and cytotoxic activity in the cell. We believe that the CISH target coupled with membrane-bound IL-15 has potential across multiple tumor types. Additionally, today, we announced the development of GDA-401, which is genetically engineered towards an undisclosed target designed to enhance NK cell survival in a solid tumor microenvironment. As with GDA-301, we believe that GDA-401 has potential application across a broad range of solid tumors. The third development candidate in our NK pipeline is GDA-501, a chimeric antigen receptor or CAR engineered NK cell, designed to target HER2-positive solid tumors. This candidate has the potential to enhance homing to and activity against tumors over expressing HER2, such as breast cancer, ovarian, lung, bladder and gastric cancers. The NK CAR is based on a single chain variable fragment of the widely used humanized monoclonal antibody trastuzumab. GDA-501 CAR was selected out of several constructs that are primarily focused on optimizing the intracellular signaling domain. These were further validated in preclinical studies, showing increase in cytotoxicity and enhanced potency. The fourth development candidate in our NK pipeline is GDA-601, which is designed to target multiple myeloma. There is strong biological rationale for the augmentation of allogeneic NK cells with a CAR to enhance myeloma targeting. And CD38 is an established immunotherapeutic target in multiple myeloma. However, CD38 expression on NK cells, which is increased during NK expansion represents a barrier to the development of CD38 CAR NK cell therapy. To overcome anticipated targeting our refractory side of NK cells by anti CD38, we applied CRISPR/Cas9 genome editing to disrupt CD38 protein expression in NK. We combine this with ACD 38 targeting CAR designed to enhance killing of CD38 positive myeloma cells, and we have demonstrated this in preclinical studies. We believe that NK cells are a very promising new approach to the treatment of cancers, and we are proud to be at the forefront of the research to advance this powerful technology. I'll now turn the call over to Michele Korfin, our Chief Operating Officer and Chief Commercial Officer, who will talk more about our launch readiness for omidubicel. Michel?
Michele Korfin: Thank you, Ronit, and good morning, everyone. Today, I will review our progress on our commercial manufacturing and launch readiness activities. As we continue to advance our breakthrough therapy, omidubicel for patients in need of an allogeneic stem cell transplant. As Julian mentioned, we are working towards BLA submission for omidubicel in the fourth quarter of this year, and our launch planning and manufacturing activities are underway to support a potential U.S. launch in 2022. This quarter, we continued to make important progress preparing both our facilities for commercial manufacturing readiness. CMC qualification activities progressed at both the Gamida Cell owned manufacturing facility in Israel and at Lonza. We have made significant advancements in analytical method validation, analytical comparability and clinical manufacturing. We are on track to finalize the CMC qualification requirements for the BLA submission. In addition, we are very excited about hiring Vladimir and Melnikov as our Senior Vice President, Global Manufacturing and Operations. Vladimir's broad and deep experience provide key expertise as we advance our commercial manufacturing readiness. We believe that there is a significant opportunity with omidubicel. In the U.S. alone, there are over 40,000 patients per year with hematologic malignancies who consider a bone marrow transplant. Unfortunately, only approximately 10,000 patients are able to make it to transplant for a variety of reasons. We have done extensive research and collaboration with the Center for International Blood and Marrow Transplant Research or CIBMTR and independent market research firms to fully assess the unmet need. This market research has enabled us to develop a well-informed launch strategy to reach these patients in transplanters. Based on our commercial insights, the opportunity for omidubicel can be summarized in 2 key categories. First is increasing access for patients, especially those who are eligible for transplant and cannot find a match. And also improving outcomes-based on the unmet clinical needs with current donor sources that can be addressed by omidubicel. One specific area of advantage for omidubicel is that it has less stringent matching criteria for patients as compared to graft sources from match related or unrelated donors. This is particularly important for patients of non-Caucasian descent who tend to have a more challenging time finding a suitable match donor. In fact, in the omidubicel Phase III trial, over 40% of the patients enrolled were non-Caucasian, illustrating the important need for a suitable graft source in this patient population. If approved, we believe omidubicel will provide a timely and attractive option for a suitable graft source to patients in need of a bone marrow transplant who would otherwise undergo a search for a matched donor that could take several months, causing high levels of anxiety and also uncertainty for patients who are at great risk or high-risk for relapse. Upon FDA approval, we believe omidubicel will be an important therapy option for patients in the U.S. in need of an allogeneic stem cell transplant and we are focused on developing a strong launch strategy. Specifically, we have hired a very experienced commercial leadership team in the U.S. and continue to augment the capabilities of our team. Additionally, we continue to have active dialogue with physicians and payers and feedback on the value proposition of omidubicel has been highly encouraging. Specifically, payers are encouraged by the potential for faster time to neutrophil engraftment, decreased infections, decrease in hospitalizations and less graft-versus-host disease as compared to published literature for other graft sources. In preparation for the potential approval of omidubicel in the U.S., the development of Gamida Cell assist continues to progress, which will be an important source of support to patients, caregivers and transplant teams throughout each patient's journey with omidubicel. This is a program like no other for patients undergoing a transplant. We have hired the Gamida Cell Assist leadership team that will be focused on supporting the patients journey with omidubicel. The Gamida cell Assist team will include an experienced case management team that will be focused on ensuring patient access and providing support to patients, their caregivers and the transplant team at the hospital throughout each step of the process. Gamida Cell Assist will have a number of key roles. One of the most important roles is compliance with the FDA's chain of identity requirements. Gamida Cell Assist will start our chain of identity, which is a unique patient identifier that will follow the patient through the entire process. In addition, we will be able to provide the hospitals and patients with assistance to support access to omidubicel, such as benefit verifications or travel and logic needs. Gamida Cell is committed to supporting a positive journey for patients in their transplant centers so they could focus on what matters most, the patient experience and successful clinical outcomes. In summary, we are excited by the potential of omidubicel to be the first FDA-approved cell therapy for bone marrow transplant, and we are encouraged by the clinical data and feedback from physicians, payers and patients. We are progressing our launch preparations and remain on track for product launch in 2022, with a focus on assuring a positive patient and transplant center experience. I will now call -- turn the call over to Shai to review our financial results. Shai?
Shai Lankry: Thank you, Michele, and good morning, everyone. Today, I will summarize our financial results for the second quarter of 2021. As of June 30, 2021, our total cash position will $150.2 million compared to $127.2 million as of December 31st of last year. Research and development expenses for the quarter were $13.5 million compared to $9.3 million for the same period in 2020. The increase was mainly due to omidubicel commercial manufacturing readiness activities as well as the advancements of GDA-201 and our emerging NK pipeline, including broadening our scientific capabilities and talent. Commercial expenses in the quarter were $5.2 million compared to $1 million for the same period last year. The increase was mainly attributed to progress with omidubicel commercial readiness activities, which includes, among other things the hiring of an experienced commercial leadership team. Share and administrative expenses were $3.8 million for the second quarter of 2021 compared to $2.5 million for the same period in 2020. The increase was mainly due to higher in key management position to support the business growth. Finance income net was $1.2 million for the quarter compared to finance expense net of $2.2 million in the same period last year. The increase was primarily due to noncash income resulting from revaluation of warrants, offset by interest expenses from the $75 million convertible note financing we did earlier this year. Net loss for the quarter was $21.3 million compared to a net loss of $15.1 million for the same period last year. We continue to expect cash use for ongoing operating activities this year to range from $110 million to $120 million. We anticipate that our current total cash position will support our ongoing operating activities into the second half of 2022. This cash runway guidance based on our current operational plan and exclude any additional funding that may be received, or business development activities that may be undertaken. With that, I will turn the call back over to Julian.
Julian Adams: Thanks, Shai. Our vision has always been define curious for patients, hematologic malignancies and blood disorders. And we are excited that the many opportunities ahead. Our accomplishments in 2021 will build extraordinary momentum and create a foundation for success in 2022. With omidubicel, we expect to submit the BLA in the fourth quarter of this year, and we are committed to being launched ready at the time of approval. The GDA-201 on its heels with compelling data, we are planning to initiate a Gamida Cell sponsored clinical study in lymphoma before the end of the year. We plan to share data on the mechanism of action of our NAM platform, translational data and more mature clinical data at major medical meetings and in peer-reviewed publications this year. Lastly, we're excited about our NK pipeline expansion announced today and look forward to updating you as we have more progress to report later this year. Now we will open the call for your questions. Krystal, operator.
Operator: [Operator Instructions]. Your first question comes from the line of Ted Tenthoff from Piper Sandler.
Julian Adams: Krystal, let's maybe just go to the next caller. We'll give Ted another Chance.
Operator: Your next question comes from the line of Jonathan Miller from Evercore ISI.
Jonathan Miller: Congrats on all the new programs that you just announced. Couple of things across the pipeline. Can you talk to us about spending ramp for OMI commercial launch? How big a team you anticipate needing? And what the time line of that ramp is going to be as we anticipate both the BLA and the subsequent approval? Secondly, on OMI, you've mentioned this enormous potential market question in the states, but what volume do you anticipate current manufacturing being able to fill maybe come from the other side, the supply side of that curve. Then talking about the pipeline, maybe a little bit I'm curious about the timing of clinical initiation of these pipeline programs. Are any of these anticipated to have an IND before the contemplated current cash runway is up? And what is the time line for getting more clarity on the specifics of those programs, especially the target of the 401 asset?
Julian Adams: Michele, let me ask you to respond to the commercial expansion and the capacity question.
Michele Korfin: Absolutely. So in regards to your question about omidubicel field team and timing. So when you look at the benchmarks in the cell therapy space, specifically, if you look at the core T companies that are also focused on the transplant centers in the U.S., their range for personnel is approximately 25 to 30 commercial account managers and approximately 10 to 15 medical science liaisons that would fall under Ronit's team. We do know that in the U.S., 70 transplant centers make up approximately 80% or account for 80% of the transplant. So we actually do feel we could be on the lower end of those ranges and have a very thorough, but efficient footprint in the field. So we're looking on the lower end of those ranges that I've mentioned. So the commercial cap managers closer to the 25 and the medical science liaisons closer to the 10, the lower end of that range. In terms of ramp-up, so on the commercial side, we have hired Linda Stamler, who was our Vice President for both marketing and account management. So we have the leader of both the marketing and account management team in place already, and Linda is now in the process of mapping up the timing -- hiring the account manager side. And Ronit and her team have made excellent progress in bringing in strong leaders on the medical affairs side also. So the leadership team and also some of the field hiring is already in place. So that's the question on the commercial footprint. In regards to manufacturing, the team at our commercial manufacturing facility in Israel, has really made outstanding progress, not only with getting ready for the qualification requirements for BLA, but also getting ready for commercialization. When the facility was designed in Israel, was designed as a modular facility.  So as we're seeing this encouraging data come in for our forecast going forward upon potential FDA approval, we have the ability to add additional modules at our facility in Israel in Kiryat Gat. So we feel very confident that we not only already have the facility in place for launch readiness for commercial needs, but also, we know what the long-term looks like for adding additional cores or additional modules. So let me stop there, John, and see if you have any questions on what I just said, and then I could turn to Ronit for the NK question.
Jonathan Miller: No, that was a fabulous response. I guess while we're talking about -- what we're talking to you about the commercial launches and what the opportunities are. Do you have any updated color on the EU market? How the opportunity is different there? And any update on BD for ex U.S.?
Michele Korfin: Yes. So let me talk about the EU market, and I also mentioned other markets. So we have undertaken commercial assessments in both Europe and other parts of the world, including Asia. We're encouraged by the opportunities. There's certainly the great need for other potential graft sources, other cell therapies for allogeneic stem cell transplant patients in Europe and also in certain areas throughout the world, including Asia. So we're certainly very focused on launching omidubicel in the U.S., we feel very confident in our strategy and our execution plans to do it, and we're currently assessing what a potential path to launch could be in Europe and in Asia. The clinical study was designed as a head-to-head comparator. So we do recognize the applicability of that study in certain parts of the world, specifically in Europe.
Jonathan Miller: I'm just saying with regard to the further pipeline in our NK 301, 401. Ronit, do you want to comment on timing? And I'll just cover the general cash position as well.
Ronit Simantov: Yes, absolutely. So we are in the midst of preclinical studies for each of the programs that I've outlined, including in vitro and in vivo studies. And as we build the evidence and prepare the information, we will advance those through IND. We're not providing specific detail about the IND timing right now. But what I can say is that we will have an opportunity later this year in an R&D Day to give more color and detail about all of the aspects of that program. So we look forward to sharing more detail later.
Jonathan Miller: It's clear that we've been able to repurpose a lot of our knowledge, including cryopreservation and cell expansion. But couple that with the technologies for CRISPR/Cas9 and CAR technologies to be able to enhance our pipeline so quickly. Obviously, we will need to raise additional capital to prosecute all these programs. But currently, I see this as an embarrassment of ridges in our pipeline.
Julian Adams: So I certainly look forward to seeing what you have to share with us in the R&D Day.
Operator: Your next question comes from the line of Ted Tenthoff from Piper Sandler.
Edward Tenthoff: Congrats on all the progress. I'm just wondering, listening to your prepared remarks and also some of the question answer. I'm wondering if you're at all contemplating NK cells are my favor too, but are you contemplating evaluating other cell types that could be processed from umbilical court? And from donors?
Julian Adams: Yes. Ted, thank you for your question. In fact, the NAM technology has broad applicability, we've been able to expand dendritic cells, we've been able to expand gamma delta T-cells, this is really just a question of bandwidth in prioritization and we've had some very, very good luck with the NK cell program. And obviously, a lot of attention in the field is being paid to the NK field. That said, it doesn't preclude us from expanding other cell types with therapeutic potential.
Edward Tenthoff: Great. That's really exciting. Looking forward to the BLA and also 201 getting into the clinic?
Julian Adams: Thanks, Ted.
Operator: Your next question comes from the line of Jason Butler from JMP Securities.
Douglas Buchanan: Thanks for taking the questions and congrats on the progress. First one, just wondering if you could give us an update on the expanded access program for omidubicel. And will we see any data from the EAP before the pre-BLA meeting or the BLA submission this year? And then second question on the NK programs. You mentioned Julian leveraging your experience with the cryopreservation of 201. Can you just maybe speak to your plans for manufacturing for the new programs? Will they be cryopreserved products from the start in the clinical development? Or how will you integrate those into your manufacturing facilities?
Julian Adams: So let me turn the first question to Ronit to talk about the EAP, and then I'll answer your NK question.
Ronit Simantov: Absolutely. So our expanded access program is currently running, and we're using it in -- as a method for serving as our clinical bridging cohorts for both the Lonza, Netherlands and Kiryat Gat facilities for our commercial manufacturing programs, and we've been able to do that as the expanded access study has been open and enrolled patients in order to do that. We have some results from those from that study. And we will be happy to share those in collaboration with our academic collaborators. When we all feel that those data mature and ready for publication or presentation. So we are also very excited about other data that we will be sharing further data on our Phase III study and other potential data that have been submitted and hope to make those available by the end of the year in medical meetings as well.
Douglas Buchanan: Okay.
Julian Adams: And Jason, let me respond about the NK program. We intend to only use cryopreserved off-the-shelf products going forward. So our pipeline is so designed that we can both manufacture the cells from apheresis units and then genetically manipulate them and cryopreserve them, and that will be our playbook going forward.
Operator: Your next question comes from the line of Gregory Renza from RBC Capital Markets.
Yinglu Zhang: This is Yinglu on for Greg. First, maybe a follow-up on the EAP. I was wondering how should we think about the time line for manufacturing and data collection for clinical comparability for the site in Israel? And how does that align with your expectation for a pre-BLA meeting and submission in the fourth quarter? And then another one on the NK program now that you have multiple in the pipeline. How do you think about selection and execution across the 5 programs?
Julian Adams: So Ronit, would you comment again on the EAP?
Ronit Simantov: Absolutely. So we have 6 sites for the EAP open in the U.S. with investigators who have worked with us before and are incredibly enthusiastic about enrolling patients. And so as we advance our manufacturing, we have been able to slot in patients for the program and treat them. And we will continue to do that as we advance forward towards submitting the BLA using the facility in Kiryat Gat to treat patients in the coming months.
Julian Adams: And with regards to the NK, the selection process will be all data-driven. We have created a number of very, very interesting targets. We're looking at cell lines, but will eventually augment these to mouse models using PDX models as well as other sophisticated models to make the best selections of product -- for product development. And this will also be informed by our commercial colleagues, who will go careful market assessments and unmet need assessments for the various programs that we are developing.
Yinglu Zhang: Great. Thank you. And congrats on the progress.
Operator: Your next question comes from the line of Vernon Bernardino from H. C. Wainwright.
Vernon Bernardino: Very excited for your progress with the omidubicel and look forward to its filing later this year and further progress on the new programs. I was wondering if you could provide some insight regarding the market research you conducted. Specifically, I was wondering if the market research included a component regarding what effect the pandemic has had on transplantation procedures, particularly the ability to conduct these procedures during surges of COVID cases. But also whether the market researches has prompted any changes in your strategy and targeting that the groups that you identified as a various opportunities?
Julian Adams: Michele, let me invite you to answer on the market research activities.
Michele Korfin: So we conducted a number of different types of market research. And what we're very encouraged by is that the consistency of the research. So this latest round of market research that we conducted. It was over 100 transplanters in the U.S., and it was with the actual clinical data from the Phase III study. Prior research before the study had been completed or all the data set was in was with what we would refer to as a targeted product profile. Now we were getting physician transplant or feedback on the actual clinical data. They were very encouraged by a number of factors, the primary endpoint, the secondary endpoints and the exploratory endpoints.  Payers also that we spoke to, we're encouraged by the clinical data and also recognize the importance of reduction in health care resource utilization, specifically around reduction in time and hospital reduction for interventions due to less infections. So the takeaway from the research continues to be very encouraging. So it has not changed our strategy. What it has done is actually help to better inform our strategy and give us more encouragement and confidence in the opportunity. Now, Vernon, you -- the question around COVID has been very, very challenging for patients. And we certainly hope that we see this pandemic begin to get to a more stable place for patients. What we can say that comes out in the research is it was very difficult to align donors with patients during the pandemic. Unrelated donors was very difficult because you had to align the donor with the patient. And we know even in traditional times, that could take 2 to 3 months and we were being told during COVID is sometimes it was just not possible to align that the donor with the patient. One of the benefits of omidubicel with our starting material being cord blood that is bank, that the cord blood banks. During our Phase III study, we were still able to access that the cord blood that was required for manufacturing have our proprietary NAM technology expand the cells appropriately and return them to the center. So that was something that came out during the market research as a benefit from omidubicel given that we don’t have to bring a donor into hospital setting as you see with other graft sources.
Vernon Bernardino: That's perfect.
Michele Korfin: So Vernon, let me stop there and see if you have any questions.
Vernon Bernardino: No, that's perfect. That's exactly the insight I was looking for.
Operator: Your next question comes from the line of Mark Breidenbach from Oppenheimer.
Mark Breidenbach: Just a few for me, all kind of the geared towards the NK programs. First, now that the Phase I/II protocol for GDA-201 has been finalized. Can you give us a little color on the study side and the specifics doses that will be tested in Phase I. How many sites you plan to activate that sort of thing. And then I was hoping Ronit could describe the interest signaling domains of the HER2 and CD38 CAR constructs that are being used in some of the new products? Are they both the same? And maybe you can point to any key differences between these and competing CAR NK constructs? And finally, with respect to the use of membrane-bound IL-15, I'm just wondering if you see any IT barriers to this type of -- to putting this type of construct in GDA-301, given that other NK developers are also pursuing similar approaches.
Julian Adams: So Ronit, would you comment on the GDA-201 Phase I/II?
Ronit Simantov: Sure. So in terms of the GDA-201 Phase I/II, we'll be conducting it as a Phase I first at a limited number of sites in the United States, appropriate to a Phase I. We are using doses based on our experience using the product that we tested with the University of Minnesota. So we have experience there in terms of the number of cells, and we'll be using similar dosing based on that experience. After we complete the Phase I, which will be used to evaluate safety as Phase Is are. We'll be transferring the study over to a larger number of sites. To conduct the Phase II. And we've not announced yet the number of patients that will be tested in the Phase II nor the number of sites, but I can share that the operational activities are underway. There's enthusiasm and excitement by potential investigators and all the executional activities in terms of getting the sites and the investigators lined up for the study are happening right now in preparation for initiating the study later this year.
Julian Adams: And once we file the IND and are cleared to open the study, we'll provide more details on the study design, number of patients and some of your other follow-up questions.
Ronit Simantov: Absolutely.
Julian Adams: With regard to the pipeline, we're staying silent on the details of the intracellular signaling today. But at an R&D Day later this year, we planned to go into a lot more detail and rest assured that we've filed all the appropriate intellectual property submissions. And I'm quite confident that we'll have present to operate with the -- the designated genetic manipulations that are underway, both for the CAR and for the Knockout pathways. Mark, are you there?
Mark Breidenbach: Yes. So here, and I assume that, that covers the member-bound IL-15 as well?
Julian Adams: Yes.
Mark Breidenbach: All right. Thank you.
Julian Adams: We've looked at a number of different constructs and really are doing head-to-head comparisons and really just picking the best of the best in the lab.
Operator: [Operator Instructions]. Your next question comes from the line of Chad Messer from Needham & Company.
Chad Messer: Between NDAs and INDs and pipeline expansions, it sounds like you guys certainly are busy over there. We've covered a lot of ground, but maybe just on the pipeline. I was wondering if I could get your thoughts on the HER2 target? You've got a lot of really cutting age technologies or thrown at NAM, which is exciting to see. This is an extremely well-balanced target may be one of the most in oncology with antibodies and small molecules and then in development, any number of other ways are going at it. Just wondering what particular advantages you think you bring in HER targeting specifically in solid tumor target too by the way very exciting to see that. And where you might think the unmet need is, where you think you would develop this? I mean, presumably in some noncellular failures to targeted therapies. But if there's a particular place you see the need?
Julian Adams: It's an excellent question. Obviously, we think that the HER2 CAR has the potential to be as effective, if not much more effective than combining it with Herceptin, the monoclonal antibody. And that's part of our engineering strategy is to make the CARs effective to be able to be used in solid tumors. As you know, solid tumors have a very immunosuppressive microenvironment. And so there are a lot of barriers. And so far, really no one has reported data in solid tumors with any great efficacy, but it's still early days. And what was mentioned in the prepared remarks is that there are a number of HER2-positive cancers. But in particular, I think a lot about gastric cancer and some of the lesser-known cancers that are not as well served by Herceptin or Perjeta. So we're thinking a lot about the various tumor models that we will develop and the clinical program could be a basket trial allowing that offer to patients that are refractory, obviously, to enter the trial.
Operator: There are no further question at this time. Mr. Julian, please continue.
Julian Adams: Well, it just remains for me to thank everyone for joining us on today's call. And we look forward to updating you in the future. Bye for now.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.